Operator: Ladies and gentlemen, thank you for standing by. Welcome to Allot Ltd. Fourth Quarter 2024 Results Conference Call. All participants are present in listen-only mode. Following management's formal presentation, instructions will be given for the question and answer session. As a reminder, this conference is being recorded. You should have all received by now the company's press release. If you have not received it, please contact Allot's Investor Relations team at EK Global Investor Relations at 1-212-378-8040 or view it in the News section of the company's website at www.allot.com. I would now like to hand over the call to Mr. Kenny Green of EK Global Investor Relations. Mr. Green, I'd like to welcome all of you to Allot Ltd.'s
Kenny Green: Fourth quarter and full year 2024 results conference. I would like to thank Allot Ltd.'s management for hosting this conference. With me today on the call are Mr. Eyal Harari, CEO, and Mr. Liat Nahum, CFO. Following Eyal, we will open the call for the question and answer session. Both Eyal and Liat will be available to answer those questions. You can all find the highlights of the quarter, including financial highlights and metrics, including those we typically discuss on the conference call, in today's earnings release. Before we start, I'd like to point out the following Safe Harbor statements. This conference call may contain projections or other forward-looking statements regarding future events or the future performance of the company. Those statements are early predictions, and Allot Ltd. cannot guarantee that they will in fact occur. Allot Ltd. does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of changing market trends, delays in the launch of services by Allot Ltd. customers, reduced demand, and the competitive nature of the securities services industry, as well as other risks identified in the documents filed by the company with the Securities and Exchange Commission. Also, the financial results in this call will be presented mainly on a non-GAAP basis. Allot Ltd. believes that these non-GAAP financial measures provide more consistent and comparable measures to help investors understand Allot Ltd.'s operating performance in the quarter. For all the data, please refer to the financial tables published in the results press release issued earlier today, which also include the GAAP non-GAAP financial reconciliation tables. And with that, I would now like to hand the call over to Eyal Harari, CEO. Eyal, please go ahead.
Eyal Harari: Thank you, Kenny. I would like to welcome all of you to our results conference call. Thank you for joining us today. We are very pleased to report our fourth quarter and full year 2024 results, demonstrating that Allot Ltd. is at a key inflection point in its turnaround. Our fourth quarter revenues increased both year over year and sequentially, representing a return to revenue growth. For the full year of 2024, we reported revenues at a similar level to those of last year. A strong contributor to revenues was our gold engine, the security as a service solution, consistently growing sequentially and year over year. For the full year, CCaaS contributed revenues of $16.5 million, up 56% over the previous year, and the ARR in the round was $18.2 million, up 43% year over year. We brought the gross margins back to Allot Ltd.'s long-term range of around 70%, a significant recovery from around 57% in 2023. Our results show the return to profitability with a non-GAAP net income of $5.6 million for the year versus a loss of $53 million last year. Importantly, we reported positive cash flow generation for the first time in several years, generating $4.8 million in 2024. As a result, our year-end cash position increased to $59 million, a positive trend that we expect to continue going forward. I would very much like to thank the fantastic team at Allot Ltd. for their hard work through the past year, supporting and bringing about the successful turnaround. I admire your determination and dedication, which was key to achieving the strong results of 2024. I'm incredibly proud of what we have accomplished together, and I look forward to building on this momentum in the years ahead. Our security-first strategy and renewed go-to-market focus are gaining strong traction and momentum. A recent highlight was securing significant new contracts, which included major telecom operators in key markets. I'm especially excited with our recent win with Verizon, which I will elaborate on in a few minutes. Allot Ltd. continues to gain strong traction among telcos and CSPs as we work closely with them to market our cybersecurity solution and help their end customers adopt our solutions. The continued success of CCaaS demonstrates that consumers and small businesses appreciate the importance of being seamlessly and fully protected by their service provider. As we move through 2025 and continue to successfully advance our security-first strategy, Allot Ltd. is well-positioned and very much at an inflection point for a long-term trend of growth and profitability. Today, our smart product line is sold as part of our unified security-first business structure. It is a solid product built on Allot Ltd.'s excellent technology and use of innovation, and it continues to provide significant revenue. Looking ahead, we expect to take the level of revenue from our smart product line during the coming year. While this product line's long-term visibility is less predictable than our CCaaS product line, we have a solid pipeline in 2025, and we believe there is a potential for upside. Now moving over to our gold section, our CCaaS offering. Our CCaaS revenue continued to grow, contributing an increasing share of our business as each quarter passes. Looking ahead to 2025, we expect another year of strong double-digit CCaaS revenue and ARR growth and improved profitability. Growth will be driven largely by our extensive ongoing list of top-tier customers launching our solution, as well as the increased traction of our security solution among the subscriber bases of those customers. We have a strong pipeline of opportunities that we are working on, some of which we hope to convert to new contracts in the coming quarters. To demonstrate our ongoing momentum and strong traction, I want to highlight a few examples of recent service provider launches in our CCaaS business. We were very happy to announce the signing of the new agreement between Allot Ltd. and Verizon Business, in which Allot Ltd. will support them with a cybersecurity solution for their mobile phone business customers. We are proud to partner with Verizon, one of the largest and most prestigious wireless providers in the United States and the world. Since late 2022, we have partnered with Verizon to provide our network-based cybersecurity protection to Verizon Business Fixed Wireless Access customers, giving 1.5 million subscribers the option to use our service. This service has experienced strong adoption over the past year and continues to grow among the Verizon business customer base. This new agreement makes our solution potentially available to the extended Verizon business mobile customer base. As of 2024 year-end, Verizon Business reported over 30 million subscribers, representing a significant targeted addressable market and long-term growth opportunities for Allot Ltd. Our network secure product will support Verizon Business in extending security capabilities, offering their customers zero-touch protection from a wide range of cyber threats. We have built a solid, strong working relationship with Verizon Business, and we hope to extend our collaboration with them further over the coming years. In November, we announced a new contract with Vodafone UK, and our relationship with them continues to grow. Together, we launched a protection service to fixed broadband customers, complementing the cybersecurity protection they already provide to mobile customers, all built on Allot Ltd.'s services. Our solution enhances threat protection across both Vodafone UK mobile and broadband networks and covers all customer devices on the home network. In only a few months since launch, our solution has gained strong traction and notably increased customer satisfaction at Vodafone UK. Last month, O2 Czech Republic, part of the group, launched a cybersecurity solution for both mobile and fixed broadband customers. Powered by Allot Ltd.'s DNS Secure, O2 is now the fifth operator of the group to deploy our security solution, further strengthening our footprint within the group. Last quarter, I discussed Allot Ltd.'s new organizational structure and strategy for new growth. I will recap our strategy, especially for our new investors. Allot Ltd. is becoming a security-first company, operating under one unified business unit. Our foundation is deep expertise in improving capabilities, combining two key areas: cybersecurity and network intelligence. We've been working hard to leverage synergies between our existing network intelligence assets and our security offering, including integrated cloud-based solutions focused on network visibility, traffic management, and cybersecurity for the 5G era. The combination creates a compelling value proposition, enabling us to deliver a highly differentiated, fully integrated solution, one that only a handful of companies worldwide can match. For example, we see strong value in offering CCaaS customers, traditionally network intelligence customers, a combined offering that enhances the ability to protect networks while maintaining the visibility to profit. Cyber threats are constantly expanding and finding new ways to take advantage of the consumer. We are looking to stay ahead of those threats by broadening our security offering to offer a 360-degree cybersecurity protection both on and off-net. Today, telco customers can seamlessly provide cybersecurity to end users while connected to their networks. Our vision is that our customers will be able to provide consumers with protection at all times, whatever network they choose to use. Our product and R&D teams are constantly working to broaden our security as a service offering, looking to add ever-growing value to our customers, to ensure our solution maintains its unique value proposition. With our strong market presence, expanding portfolio of innovative solutions, and agility in meeting customer needs, we are well-positioned to win new customers while also continuing to expand within our existing customer base. This brings me to our customer-centric go-to-market approach. We have structured the organization to better support evolving customer demands. Our marketing and sales team now have a regional focus on sales and customer success, empowering them to function more effectively while enabling a more personalized approach. We believe this new structure is already creating opportunities for us, expanding our installed base, and attracting new customers. In summary, we are pleased with our performance in 2024, culminating in a strong fourth quarter with double-digit CCaaS revenue and ARR growth and a positive profit. It is clear that Allot Ltd. is at a key inflection point of profitable growth following our first profitable year on a non-GAAP basis in a very long time. Our security offering continues to gain momentum, as is demonstrated by recent new contract wins and service launches, achieving customers. Our unified security-first strategy, integrating cybersecurity and network intelligence, differentiates us in the market, delivering a fully integrated solution that widely enhances value for both existing and new customers. Looking ahead to 2025, we remain focused on advancing our strategy and executing on another year of double-digit CCaaS revenue and ARR growth, and improved profitability. I'm increasingly optimistic about the expanding opportunities ahead. And now I would like to hand it over to our CFO, Liat Nahum, for the financial summary. Liat, please go ahead.
Liat Nahum: Thanks, Eyal. We recorded revenue of $24.9 million in the quarter, up 2% year over year. For 2024, we reported revenues of $92.2 million, just 1% below those of 2023. Revenue from our growth engine, CCaaS, was $4.8 million in the quarter, in line with our expectations, and up 49% year over year, comprising 19% of our revenue in the quarter. Our CCaaS annual recurring revenues as of December 2024 were $18.2 million. I will now discuss the non-GAAP financial measures. For all our financial results, including the GAAP financial measures, and the various other breakdowns of our revenue, please refer to the table in our results. Our non-GAAP gross margin in the quarter was 69.7%, a significant improvement from 51.7% in the fourth quarter of last year. For the full year, gross margin dramatically improved to 70.6% versus 59.6% last year. While the non-GAAP gross margin depends on the specific product mix sold in the quarter, our expectation for gross margin in the coming year is in the range of 70%. We reduced expenses considerably over the past year, with the non-GAAP OpEx at $15.6 million, 47% below those of the fourth quarter of last year. Full year 2024 OpEx was $64.4 million versus $111 million in 2023. Allot Ltd. had 504 full-time employees as of December 2024. We reported a non-GAAP operating income of $1.8 million, which is a significant improvement compared with the non-GAAP operating loss of $17 million in Q4 last year. For 2024, we reported a non-GAAP operating income of $0.6 million versus a $55 million non-GAAP operating loss in 2023. In terms of non-GAAP profit, we reported $2 million in the quarter, or a profit of $0.05 per diluted share, as compared with the non-GAAP net loss of $16.5 million or a loss of $0.43 per basic share in the fourth quarter of last year. For 2024, we reported a non-GAAP net income of $1.6 million or $0.04 per diluted share, versus a non-GAAP net loss of $53.3 million or a loss of $1.41 per share in 2023. We reported positive operating cash flow in the fourth quarter of $4.1 million and a positive operating cash flow of $4.8 million in 2024. Cash, short-term bank deposits, and investments as of December 31, 2024, totaled $58.8 million versus $54.8 million as of year-end 2023. That ends my summary. Eyal and I would now be happy to take your questions.
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question and answer session. If you wish to cancel your request, please press star two. The first question is from Nehal Chokshi of Northland Capital Markets. Please go ahead.
Nehal Chokshi: Alright. Thank you. Hey, congrats on the strong free cash flow generation for the quarter. What would you say is the driver of that?
Eyal Harari: Thank you, Nehal. We did see continuous growth on the CCaaS, and it's mainly based on our goals with the existing customer base as well as the new announcement of new services launched that we mentioned with customers like Vodafone, Mio, and O2. Obviously, one of the most exciting developments about Verizon is something that we contribute reviewing and CCaaS goals in the future, but it is not yet contributing to this quarter's numbers. So we see that the growth engine is producing the growth we expect as both said, we need new accounts. We need new services within the existing accounts. And expanding the adoption of the end customers within the existing services at the existing companies. So all of them are working towards additional growth, and this will yield the overall very nice growth this year.
Nehal Chokshi: Okay. So I did notice that, you know, within the revenue segmentation provided, support and maintenance was up almost $4 million quarter over quarter. That's one of the biggest amounts, I think, in a long time. What was the driver of that increase? Was this basically the new customers that were being onboarded?
Eyal Harari: So support and maintenance is mainly based on our smart product line as the CCaaS is a SaaS model and does not support, does not provide any support and maintenance revenue. The reason is that due to Q4, catch up on supported maintenance agreement typically end of the year, we have strong results there, and this is a similar level to what we had last year.
Nehal Chokshi: I see. So for example, renewal of agreement that we managed to do leveraging the end of the year to doing that.
Eyal Harari: I see. So in terms of, like, this catch up, it was actually a positive cash flow contributor, though. It wasn't just simply an accounting reflection.
Eyal Harari: No. No. It's orders with the fees that increased our business on supported maintenance. Both cash and value.
Nehal Chokshi: Got it. Okay. Then products revenue, that was down 55% year over year. You know, why is that?
Eyal Harari: So we can can you repeat the question?
Nehal Chokshi: Product revenue was $4.8 million for the December quarter. I believe that was down 55% year over year. Why is it down so much?
Liat Nahum: Yeah. Sure. So as we stated also in previous quarters, our product revenue, which is mainly the VTI base, can fluctuate between quarters, and it really depends on specific deals in each quarter. In general, we can say that, of course, as you can see, each quarter, the CCaaS revenue percentage out of the total is increasing, and therefore, you know, it came back the rest of the percentages. But overall, it really depends on the specific quarter, the seasonality, and if we have specific CPI large deals.
Nehal Chokshi: Okay. Alright. And so as an indicator as to how things are going to go for calendar 2025 in terms of the product revenue, or is that more a reflection of the lumpiness, and how would you suggest that you view product revenue starting in calendar 2025 then?
Eyal Harari: So I believe that as I mentioned in my previous detailed email, the smart product line, as you know, it's harder to predict, and it can fluctuate between quarters. I think that the current quarter is a good baseline. What we see is where we are more consistent and growing is around the CCaaS. So this should continue to grow in high double-digit rates. And we expect a similar level of smart business to continue with less visibility, which means that there could be an upside due to some current pipeline issues we have. But on the quarterly level, this would still fluctuate. And this is nonrecurring revenue.
Nehal Chokshi: Yep. Understood. And then when you say CCaaS, the team grows in high double-digit rates, I mean, does high double-digit mean 11%? Or do you mean, like, more like, you know, thirty plus percent, like, what you have been doing?
Eyal Harari: This year, we were doing forty percent, fifty percent, and our goal is to maintain this success. It a lot depends on the adoption of the service around those new wins we have and continue to execute well and win new accounts. If we look at the recent announcement we made around Verizon earlier, this could be an amazing opportunity for us to really scale our security service offering. Millions of customers. The pace is very hard to predict as we always depend not only on us but on the service provider and the channel. But definitely, we have all the recent wins, we are very well positioned to keep similar growth rates, and we are targeting to continue to work and execute well to maintain it in the next years to come.
Nehal Chokshi: Got it. And then when you talk about this Verizon Business Mobile Internet security offering and that there's a basic thirty million customers, is that base there growing, and then do you have it set as to what are the gross adds for that portion of Verizon business versus their fixed wireless access that I believe has been feeding largely your one million dollars per quarter incremental ARR in CCaaS?
Eyal Harari: Yes. So the mobile industry as a whole doesn't grow much as opposed to the FWA, which is a niche service that is growing. I believe we can look at this as a stable installed base. But a base of thirty million customers now has the option to join our cyber protection services. And I think this is definitely a very significant opportunity for us. We just announced this new service, and we don't have the exact statistics on the tax rates, and of course, it a lot depends on how Verizon would market it to their customers. They are working on different go-to-market strategies. But fixed wireless access today is only 1.5 million lines. And then we are talking about thirty million devices. And I think it's not only about this new service, it's also very important. It cements our relationship with Verizon and shows the satisfaction from the solution that they want to expand our cyber protection to more of their customers, and we are going to work closely with them to ensure they are delighted with our solution, and hopefully, we have more services we can potentially tap and protect more of their customers and more of their services. So this is a really exciting opportunity for us.
Nehal Chokshi: Okay. Do you have a sense as far as what is the rate of gross adds for that thirty million base? I mean, there's a churn rate, and so the stable base there's usually some churn out. I think it's a good default for the sake of exercise.
Eyal Harari: Estimate and you Verizon share information on their financials that you can view, but it's quite a stable base. And the question is now how to market this new add-on service to their customer and there are not necessarily just on assuming growth within this space or replacement within this space.
Nehal Chokshi: Okay. Alright. And then your incremental ARR for the December quarter was one million versus the September quarter being two point six million. So and I realized that the September quarter was a record quarter, unusual quarter. But can you just go over the drivers of that tick down in the incremental ARR?
Eyal Harari: So as I mentioned, incremental ARR outcomes by winning new accounts and launching new services and adoption within the services. Some of the it's not linear growth because once we introduce new service, that creates some higher growth. And for example, last quarter, we announced on Vodafone, and this gave some time accelerated growth for the quarter. So nothing specific that more that I can share. We don't expect to see, you know, steady growth. We still work with large channels, telcos in the channel. And opportunities are relatively big. So in some quarters, we could see accelerated growth, and in some more modest. But overall, we are looking to keep strong double-digit growth rate.
Nehal Chokshi: And just to be clear, does that mean the December quarter did not have any material new customer launches or segments launched within those customers?
Eyal Harari: Some launches just happened, and they will contribute only in Q1, for example. There is always the timing, and when you launch the service, there are no customers, then you need to add the customers. Now it all depends on campaigns. If the customer is offering different campaigns to increase the tax rate, it increases uptake. So there are a lot of moving parts here. And because we are working with large channels, sometimes, you know, if you have a promotion with a significant customer, it creates multiple faster increases in the quarter, and if you are and it's not if you can expect it to be, you know, steady growth quarter over quarter.
Nehal Chokshi: Okay. Alright. I realize I've asked a lot of questions. I do have more questions, but I want to give others a chance to ask questions. So I'll just get back in the queue here. Thank you.
Operator: The next question is a follow-up question from Nehal Chokshi. Please go ahead.
Nehal Chokshi: Alright, guys. Thanks. So just a few more cleanups here. So gross margin did tick down two hundred basis points quarter to quarter to sixty-nine point seven percent. I appreciate that that's product revenue driven. Is that correct?
Liat Nahum: Yes. Correct. Our gross margin is dependent on the product mix, and it's driven from the products they sell in the quarter.
Nehal Chokshi: Okay. And what do you think caused that it was product mix as opposed to potentially some new element of pricing pressure under product?
Eyal Harari: No. I think that you saw the improvement year over year. We had a tremendous turnaround, and we go to the seventy percent range. You can still change slightly between the quarters, but this is on the yearly level, the numbers that we are expecting to be in the and long term we expect this to further improve with scale and with more customer and more revenue portion coming from CCaaS that in general, it's higher gross margin by nature. Because this is the service as opposed to the smart product line that sometimes has higher cost components. So I would say that on a yearly level, we expect to see similar gross margin with some improvement over time with growth and move up revenue between the product revenues into the CCaaS revenue.
Nehal Chokshi: Okay. So are you seeing Sandvine volumes coming back into the market? What are you seeing on the competitive front from the smart product line then?
Eyal Harari: We don't refer to any comment on competition. Obviously, we believe we have a good product, and we have a strong pipeline for our products. We continue to work with multiple existing new customers and potential expansions. We are not trying to go into low-margin deals or price wars. As we are focusing on the high-tier customers and customers that can be effective to our business. Sandvine has a good solution, and I wish them the best, and we are continuing to make our most focus on the security-first strategy, which is anyhow. We are facing new competitors and new markets, and this is where most of our efforts are.
Nehal Chokshi: Great. Great. And then OpEx for the quarter, $15.6 million on a non-GAAP basis, flat quarter over quarter. Does it make sense for Allot Ltd. to start to now invest in OpEx as the security as a service is driving the growth here?
Eyal Harari: Actually, this is an important question as I believe that what we did this year is mainly focused on the internal transformation. I believe now we have the good fundamental model to allow us to be well-positioned for the next year's growth. We changed. We focused on some areas, and we are looking to further grow over time. The growth is going to be mainly in driving more investment towards our and low sentence, both on the go-to-market side and R&D. On the coming few quarters, I believe you can still see some of the savings in parallel to some of the new investments. So I would say that overall on the numbers, it should be flattish with some increase towards the last part of the year.
Nehal Chokshi: Okay. Great. I think that's everything I'll oh, Ash, you know, one other thing. Eyal, you mentioned that you're looking to broaden your security offering. Can you detail a little bit more on how you're gonna do that?
Eyal Harari: So we are working in investing R&D around innovative ideas. I mentioned in my previous comment, one of the most important parts for us is to see how we can make sure that the customer is always secured. As providing security from the network side, we are providing excellent protection for the customer while he is on its network. Once we identified that some of the operators are looking to see how they can extend their security breach also to when the customer is off the network. And this is an area we are trying to bring new innovation. This is an area we envision that we can provide more value. How we can still connect the customer to the network for security protection while the customer is now on his Wi-Fi or other network that is not the service provider one. This is critical for the CSPs to improve their customer retention and satisfaction, and we are working on some ideas in this direction, which we will share later in the year once we are getting closer to product launch.
Nehal Chokshi: Yeah. To be clear, at this point in time, the call upon customers provide the off-network security protection through a third-party security product that is not necessarily as well integrated as what you're envisioning here.
Eyal Harari: Yes. Got it.
Nehal Chokshi: Okay. Very good. Thank you very much.
Operator: The next question is from David Kanan of Kanan Wells Management. Please go ahead.
David Kanan: Hi, guys. Thanks for taking my questions and congratulations. I know that in the last segment, you were asked about attachment, and you kinda took a pass on that. But could you address it a different way possibly, like with Verizon based on turning on other carriers in the past? What kind of attachment did you get? And then is this done primarily at the point of activation? When somebody upgrades their phone or they subscribe for new service and they, you know, are turning it on or activating it. Is that typically when they would uptake for security? Thank you.
Eyal Harari: Thank you, David. So it really depends on the go-to-market of the CSP, and there are many considerations. It depends if they offer it as an opt-in or opt-out, obviously, definitely affect the tax rates. Different operators choose different ways. Some of them are trying to combine it with the selling of new service. And typically, you do need a compelling event to make the customer join new services, either if he's changing his plan or device joining the service. I would say that based on past experience with operators, we see that at peak, we get close to fifty percent attack rates. Typically, if the operator is doing a decent job and takes it strategically, fifteen percent to twenty percent are definitely our average attachments of customers. And if then maybe based on how they are positioned, if it's a paid add-on in an opt-in, it's usually slower uptake. If it's an opt-out, it's much faster. If it's bundled with a package, then we go with the package that it is attached and so on and so on. So different methods to see, but some of the statistics we shared in the past, if you see the peak attachments, good. Close to fifty percent and average, I believe, is around fifteen, twenty, twenty-five percent very achievable goal.
David Kanan: Okay. And then if I could ask a question about your DPI legacy business, with the troubles that Sandvine has experienced as of late, and then you have some upgrades and integration with your new offerings. Do you expect for 2025 that this is a business that could actually start growing albeit modestly, or is it something that will continue to contract?
Eyal Harari: In my prepared remarks, I mentioned we are looking to best estimate is to have a similar level. If you ask me whether there would be an upside, definitely there could be an upside. It really depends on winning new projects and the timing of the revenue. We do see more opportunities in the pipeline based on our engagement with different customers, we do invest in and part of the change to move into regional structure we give a small market focus and more engagement with customers that we see that generate us some nice opportunities in the far side. But this being said, predictability of this business is much lower. And visibility is different because we, you know, it's normally current business, and it really depends if we win the project or not. So currently, we estimate a similar level, but there could be an upside based on some customer success and depends on the scale of the projects we meet. I hope this helps.
David Kanan: Okay. Yeah. That's helpful, the way you answered it. And then last question is, in your prepared remarks, you said something like we have a strong pipeline that we expect to convert. And I believe you were referring to CCaaS. So are you indicating that you have a strong pipeline of CCaaS prospective CCaaS customers similar to, you know, Mio and Verizon and the large Japanese carrier you recently landed? Is this incremental? And could you give us a little more color on that in Q1?
Eyal Harari: So the comment was generic, and we have a mix of opportunities both on the CCaaS for new services within our existing customers. We have CCaaS potential customers. We have also new small potential customers. And I think we are starting the year very well-positioned strong to address those opportunities. And nothing more that I can add. I do spot.
David Kanan: Okay. Thank you. We wish you well, and look forward to chatting with you this quarter.
Eyal Harari: Thank you. Thank you, David.
Operator: There are no further questions at this time. This concludes the question and answer session. The recording will be available on the website. You may go ahead and disconnect.